Ignacio Cuenca Arambarri: Good morning, ladies and gentlemen. First of all, we would like to offer a warm welcome to all of you who have joined us today. We are delighted you are able to be with us for the presentation of our 2019 first half results. The presentation will follow our traditional format. Firstly, we will begin with an overview of the results and the main business highlights for the first 6 months provided by our senior management team, our Chairman and CEO, Mr. Ignacio Galán; Mr. Francisco Martínez Córcoles, Business CEO; and finally, the CFO, Mr José Sainz. Afterwards we will move on to a Q&A session. We'd also like to point out that we are only able to answer questions submitted via our website. So please submit any questions you may have through our web page, www.iberdrola.com. We expect that today's event will not last more than 50 minutes. Hoping that this presentation will be informative for all of you, I would like to give the floor to our Chairman and CEO, Mr. Ignacio Galán. Thank you very much, again. Please, Mr. Galán.
Ignacio Galán: Good morning, everyone, and thank you very much for joining today conference call. Before entering into details, let me begin by saying that in the first half 2019, our divested business portfolio reinforced with record investments made within the last months has allowed the company to deliver growing results. Up to June, net profit reached €1,644 million, increasing 16.6%. EBITDA growth accelerated in the second quarter, up to 12.5% reaching close to €5 billion, thanks to the good performance of our core activities and despite a very low hydro production in Spain. Operating cash flow is also up by 11.1% to €4 billion, allowing us to accelerate investment and take advantage of the unique opportunity the energy transition offered to us. Finally, I would like to mention the successful IPO of our Brazilian subsidiary Neoenergia. The company's first half results are based on the strong operating performance in all businesses. In Networks EBITDA rose close to 9%, driven mainly by Brazil where decreasing distribution tariff approved in April for Bahía and Rio Grande do Norte, along with the cost savings and synergies has driven a 29% increase in the chapter. As mentioned, Renewables business was strongly affected by 45% decrease in Spain hydro production, almost fully offset by the additional output from 1.4 gigawatts of new capacity installed in the U.S., Brazil and Mexico in the last 12 months. An increase in offshore production up to more than 40%, thanks to the contribution of our wind farm in Germany. As a result, Renewables EBITDA fell slightly by 1.6%. Lastly, operating result in Generation and Supply increased by 35%, driven by the contribution of an extra 1 gigawatt of new capacity installed in Mexico over the last 12 months in addition results in Spain were driven by high output and retail sales as well as the divestment of our gas portfolio. All these factors more than offset the negative impact of lower margin and demand in our retail activity in U.K. All in all, EBITDA growth is even higher than in the first quarter of the year reaching 12.5%, including a minor positive foreign exchange impact mostly connected with the dollar and the pound that offset the negative evolution of the Brazilian real. Operating cash flow reaches €3,881 million increasing by more than 11%, fully in line with the group of financial performance already mentioned. The strong cash contribution from all businesses has allowed the group to fully finance the investment made during the period. Which investment which increased by 23% year-on-year to exceed €3 billion. Half of that amount was dedicated to renewable energy with increase of close to 17%, mainly driven by offshore and onshore wind in the U.S., U.K., and Spain. In addition, 14% corresponds to Networks investment, which increases in all countries for a total 90% rise and the remaining 10% to Generation and Supply. Thanks to this acceleration of investment, we expect to install more than 5,200 megawatts in 2019, increasing our total capacity of the group by more than 11% around the year. Half of the increase in capacity for 2019, 2.6 gigawatts correspond to renewables energies, including 1.3 gigawatts in onshore wind, mostly in United States, almost 500 megawatts in our East Anglia ONE offshore wind farm in the U.K., which will be fully operation in 2020 with its 714 megawatts, close to 300 megawatts of solar and photovoltaic in Spain and 600 megawatts of hydro in Brazil. The remaining 2,600 megawatts will be installed in Mexico with 3 new combined cycle plan operational during the second part of this year. As a consequence of this acceleration, we now anticipate exceeding our initial target of 13 gigawatt of new capacity between 2018 and 2022. We expect to provide you more details about this new target in our next Capital Markets Day. With respect to Spain's regulatory framework, the latest update shows progress in stability and predictability. The government is strongly advocating for a directive of zero emission by 2050. This is fully consistent with its strategic vision of the European Union, as shown by the new President of the European Commission which has included it in within the main political priorities. In according with this vision and the European directives, the Spanish Ministry of Ecological Transition has published the national integrated energy and climate plan. This document has been highlighted by European Commission for its clarity and its ambitious goals. Additionally, the government has implemented the restitution of the functions to the Spanish Regulatory Independent Body, CNMC, complying with the European Union regulation. In the success of this power, the CNMC has published its proposal for a new methodology for the remuneration of regulated gas and electricity networks. This framework is based on the internationally-accepted concept of Regulatory Asset Base in ways are that cost of capital with explicit calculation methods. The new model harmonized the economic condition applicable to gas and electricity networks, both in transmission and distribution eliminating the existing imbalance. However, this proposal still requires an improvement, in our view. Firstly, the proposed rate of return is not sufficient attracted to mobilize the necessary investment in networks in order to reach the goals of national integrated energy and climate plan. Secondly, meeting these decarbonisation targets will require additional incentives to power grids in order to promote a quick electrification of the economy. As you know, at the beginning of this month, our Brazilian subsidiary Neoenergia was successfully listed in São Paolo stock market. This is the largest initial public offering completed in Brazil in 2019 and the most relevant in the country energy sectors since year 2000. The interest shown by Brazilian international investors has been reflected in the offers of a subscription with a managed ceiling offer by 5x. After the transaction, Iberdrola will continue as a controlling shareholder, with more than 50% of the shares. Since the IPO, Neoenergia has increased its market value by 13.4% reaching almost €5.1 billion reflecting the positive investor perception about the track record, the current position and the growth prospect for the company. Neoenergia will now be fully focused in the execution of this investment plan for the period 2018, 2022, which could reach up to BRL 30 billion in distribution and transmission with them projects under construction and onshore wind with 50 wind farms starting construction in 2020. Finally, the administration have a firm intention to continue reinforcing the growth trends shown in today's presentation. By accelerating our investment, fully in line with opportunities of the transition to clean energy provides. In the European Union, the approval of new regulation developing the Clean Energy for All Europeans package continues. In particular as mentioned, a National Energy Plan for 2021/2030 has been already submitted increasing the visibility for the investment in renewable synergies and networks in all member states. As you know, in the case of Spain this document estimate that 74% of the total generation will be renewable by 2030, bringing also much higher visibility about the closure of coal and nuclear generation facilities. Also, in United States, several states are approving new legislation that increased their commitment to decarbonization and renewable energies. One of the main drivers of this ambition will be the new offshore wind, a technology that continues gaining momentum day by day. Targets already announced by different states imply a potential up to 25,000 megawatts of new capacity in the country for the next coming years. In the U.K., in March this year, the government fixed a new directive of 30,000 megawatts of offshore wind by 2030, a figure that will require doubling the current rate of new capacity addition to reach more than 2,000 megawatts per annum. This is fully in line with increasing climate ambition shown by U.K. government. Shortly after the numbers of this bid to host COP26 in the country, a new law was passed that required zero emission by 2050. New renewable capacity will require additional network infrastructures to connect generation facilities to consumption areas and also to improve the system resilience and reliability. As an example of this the trend in Brazil, a new transmission auction calendar has been presented for the next 3 years with the first bid taking place in December 2019 followed by 2 additional per annum in 2020 and 2021. The need for networks investment is also increasing in The United States where regulators from many states are calling for resilience plans in order to strengthen the grid and improve reliability. Mexico also continues to offer opportunities for Iberdrola. Recently the country's Energy Department published its National Development Program for the electricity sector foreseen a 3% energy demand growth from 2019 to 2033. The plan estimates that 70,000 new megawatts will be required, mostly in combined cycles, solar PV, offshore wind -- and offshore wind farms. As you can see, we are strongly positioned in markets with several opportunities for additional investment linking to electrification through clean energies. We will continue informing you about this new development in the coming quarters. I will now hand it over to the CFO, who will present the group financial results in detail.
José Sainz: Thank you, Chairman. Good morning to everybody. As the Chairman has explained 2019 first half results consolidate the strong growth of the first quarter with a net profit rise of 16.6%, proving the resiliency of our business model even in adverse climate conditions. Positive impact from currency evolution has been relative -- has been negligible with only €4.2 million at the net profit level. New accounting treatment for operating leases in place from January '19 onwards reduces net operating expenses by €33 million, increases depreciation by €32 million, raises debt by €400 million with a €6 million negative impact in our financial expenses. Revenues increased 3.9% to €18.3 billion and procurements grew 1.3% to €10 million. As a consequence, gross margin rose by 7.3% to €8.2 billion. FX evolution added at this level €160 million. Excluding FX, gross margin grew by 5.8%. Net operating expenses were up only 1.6% to €2.1 billion, including €32 million of negative FX impact. Excluding this, net operating expenses remained flat. Levies fell by 2.4% to €1.1 billion, positively impacted by €106 million decrease in Spanish taxes on generation due to lower hydro production and the suspension of the 7% generation tax in Q1, now in place again from April onwards. This has been partially compensated by FX and rise in taxes in other areas. Analyzing the results of the different business and starting by Networks, its EBITDA was up 8.6% to €2.6 billion driven by Brazil and the U.S. As you can see in this slide, Spain contributed 32%, the U.S. 27%, Brazil 23% and the U.K. 18%. In Spain, EBITDA fell 6.4% to €837 million due to a positive one-off accounted for in the second quarter of 2019 corresponding to a positive court decision regarding assets given to customers for €53 million and also due to efficiency programs already implemented in the first half of 2019, that have increased our net operating expenses. In the U.S. IFRS EBITDA was up 10.7% to $782 million due to the growth in the rate plans and the recovery of the storm costs from previous years. In addition to lower expenses, this year due to fewer storms versus last year and some minor positive IFRS impacts, which have been partially compensated by tariff adjustments, corresponding to a tax reform in effect on their IFRS accounting from the third quarter of '18 with neutral impact and net income level and this effect is offset by the lower corporate tax. Levies increased 5.1% due to higher property tax in New York. In Brazil, EBITDA grew 36% driven by the strong tariff revision in 56 of our rate base from May 2018 as well as 5% higher demand and lower cost due to our efficiency plans. Finally, in the U.K., EBITDA was 4.3% up to GBP 417 million with higher revenues, both in transmission and distribution as a consequence of the growing asset base due to investments. Renewables EBITDA fell 1.6% to €1.1 billion with the U.K., Latam and offshore business contribution almost compensating lower results in Spain due to production. As the Chairman has pointed out, in Spain, the EBITDA was €380 million, 22.6% below last year as a consequence of a 28% lower output driven by 45% lower hydro and 8% lower wind, partially compensated by lower taxes linked to the already mentioned decrease in production and the suspension of the 7% generation tax in Q1. In the U.S., EBITDA fell 16% to $278 million due to a 6.1% decrease in output and lower prices. In the U.K., EBITDA was up 4% to GBP 213 million with better prices more than compensating a 10% lower wind output, both in onshore and offshore. In Brazil, EBITDA grew 21% to BRL 308 million with a 12% higher output, mainly as a consequence of 350 megawatts of new hydro capacity in operation and also due to the cost contention. In Mexico, the EBITDA was up 123% to $45 million, thanks to the 69% higher output linked to the 270 megawatts additional solar capacity installed. Finally, in other international areas, mainly Europe what we call IEI, EBITDA grew 73% to €183 million due to the German offshore contribution, now fully operational. Generation and Supply EBITDA grew 35% to €1,182 million driven by Spain and Mexico. In Spain, the EBITDA was up 85% to €754 million, thanks to a 25% higher production, mainly in nuclear and gas compensating the lower hydro and wind and revenue increase in the supply area. In addition, it has been accounted in the second quarter €89 million positive impact linked to the LNG contract sale. In Mexico, EBITDA grew 36% to USD 407 million, thanks to the higher sales as a consequence of production increase linked to the new installed capacity, as the Chairman has said, it's 1 gigawatt more, as well as the normalization of tariffs versus the first half of last year. In the U.K., EBITDA decreased 70%, the EBITDA, to GBP 48 million affected by an average 16% lower margin and around a 10% decrease in both in electricity and gas sales, together with the sale of our generation business at the end of '18. Brazil added BRL 83 million to the EBITDA. Nevertheless, the supply business is affected by a negative one-off of around BRL 60 million. In the IEI, EBITDA was €6.8 million negative, improving versus the first quarter, but still affected by initial development costs of our supply business in Europe. EBIT grew 18.3% to €3 billion, thanks to the 12.5% EBITDA growth and a lower 4.7% rise in the depreciation and amortization and provisions as a consequence of higher activity and IFRS impact, partially compensated by the lower nuclear depreciation. Net financial expenses reached €611 million, €47 million more than the previous year, including €6 million linked to the IFRS 16 impact. There has been a €38 million increase in nondebt-related financial expenses due to derivatives that hedge foreign currency. Average cost of debt fell to 3.43% and reduced financial expenses by €10 million, but higher-average debt of €1.1 billion, FX negative impact and higher investments, increased financial expenses by €20 million. Our credit metrics improved. Net debt/EBITDA was 3.7x versus 4.1x last year, thanks to our strong operating results. FFO over net debt was up a full 1 point to 21.2%. Retained cash flow over net debt reached 20.1% improving from 17.7% and leverage ratio was at 44.5%. As you can see in the slide, those solid credit metrics were achieved despite the fact that the year-on-year net debt grew by €2.3 billion to €36.3 billion affected by a €300 million of FX negative impact, €400 million due to IFRS 16 and higher investments. But we will reduce this debt in the second half due to the asset rotation plan in progress despite the fact that the group will continue its strong investments. In 2019, we have issued an equivalent of €5.5 billion of new financing in different markets at very competitive levels reducing costs in all countries, increasing maturities with an average life of debt of 6.1 years and continuing with our green financing strategy, a 72% of new funds have been raised in green sustainable markets. In 2019, we continued consolidating our position as a world-leading private group in green bonds. Profit before taxes rose 20.2% with only €7 million of nonrecurring results in the period and reported net profit grew 16.6% to €1,644 million. Corporate tax increased to 22.9% over 20.8% in the first half of last year as it was affected by a final positive adjustment of the U.S. tax reform. Thank you very much.
Ignacio Galán: So to conclude, today's presentation set out clear evidence of the accelerated execution of our strategic plan. We are confirming the strong growth trend already shown in the first quarter, with double-digit growth up to June, despite adverse hydro conditions. On top of this, the additional 40 gigawatts of new capacity installed up to the year-end, together with the cost savings, make us expect to obtain in the second half of the year a slight increase above the very strong result delivered between July and December 2018. As we have already done in the past, the potential not-recurring gains arising from the asset disposal we are working on will be used primarily to take additional measures to improve future results. Taking all this into account, we are increasing our outlook of net profit for the year from high single-digit to low-double digit growth. So thank you very much for your attention. Now, we are ready to answer any questions you may have.
A - Ignacio Cuenca Arambarri: Okay. We have a nice set of questions from the analysts. First one is coming from Arthur Sitbon from Morgan Stanley. The first question is related to the guidance. Could you please help us understanding the increase in 2019 net income growth guidance, how much of increase would you estimate is due to the one-off of LNG supply agreements and could you give more details on the other drivers of increase cost saving capacity in H2?
Ignacio Galán: So as I was mentioning first in this LNG has been mostly used for another efficiency measure we have already taken during the first half of the year, which is going to make already some provision, which is going to be -- which is going to deliver results in the second half in the following years as well. I think mostly it has been already, yes, in every time and in certain of our countries. Which are the main drivers? I think clearly, I was trying to explain: the first one is the increase in our production and a consequence of the next new 4,000 megawatts of installed power in the second half, plus the 1.2 which has been already making during the first part. The second one is certain action which is going to be taken in The United States in terms of efficiencies, following with Mexico and other countries as well. And the new capacity, which is going to be established as well together with that one, is going to be in Mexico, is going to be in The United States, and it's going to, as well, it's going to start the production of more than half of the offshore wind farm of East Anglia. So altogether is what makes ourselves to be confident that even last year we have already very good results in the second half of the year. This year, we are going even to have even better results than those which were extraordinarily good during the last year and that makes -- altogether make ourselves to be confident that these numbers of the -- these low two digit growth can be already achieved. As I was mentioning, without contemplating the potential extraordinary capital gains we can have with mostly as I mentioned will be applied, as we did in the past, for future improvement of our results in producing efficiencies and improving things in our balance sheet or in our P&L.
Ignacio Cuenca Arambarri: The next couple of set of questions comes from Stefano Bezzato, Crédit Suisse; Alberto Gandolfi, Goldman Sachs; Javier Garrido, JP Morgan; and Meike Becker from Bernstein and is related to the looking forward-looking statements. Do you -- does the improvement in 2019, I think, on targets imply any change to your guidance for future years? And additionally, considering the normalization in hydro new capacity and positive pricing evolution, can we see, again, double-digit growth in 2020 both at EBITDA and net income levels?
Ignacio Galán: So as I was mentioned, I think we are seeing a lot of potential opportunities. We have already all our development machine at full speed and I think they are ready. As I mentioned in the last presentations, our plans in several counties is to accelerate our construction plan from the original plan of 13,000 megawatts by 2022, probably that is going to increase. We will announce that in the next Investor Day, but for the time being the thing what I can tell you is we are seeing quite a lot opportunities. We accelerate in the construction trying to put in front as much of these 13,000 megawatts as soon as it is possible and that gave already us opportunities for building another ones in the future. So I think please give us some time and I'm sure that in the next Investor Day by February next year we will have given more details about what is going to be our situation in the following years. But I think for the time being, we are accelerating, the work is accelerating construction and trying to take profit of the existing opportunities in most of the countries and areas, but we are already -- we have our activities.
Ignacio Cuenca Arambarri: Javier Suarez, Mediobanca, and Meike Becker of Bernstein are asking both about the CNMC proposal. Can you detail your constructive criticism to the CNMC on how to improve remuneration system for electricity distribution, which is the claw-back impact that you should expect in 2020 to 2025?
Ignacio Galán: Claw-back?
Ignacio Cuenca Arambarri: Claw-back is the reduction of revenues?
Ignacio Galán: So, well the first thing I was already and probably -- not probably, the CEO will be more in job in this country for many years. So I think I was already suffering a continuous uncertainty in the regulation. So I think -- I try to be positive because in the first time they are seeing the things which have been made in a very rational manner. So I think the fact that Spain has already fulfilled the European directives of climatic change, the fact that Spain has already presented energy and climatic change plan has been very much appreciated by European authorities for its ambitions with clarity and transparency. The fact that the powers have been withdrawn to the regulator, the independent regulator, the fact that the independent regulator has already defined a RAB for the remuneration activities. The fact that the regulator is defining a WACC for how do we remunerate, the fact that the regulator is trying to converge the remuneration the different grids: gas, transmission and electricity, et cetera, in a similar manner. So all those things makes to me ready that we are moving back a situation of rational. Saying that, the regulator insists that we are already -- we had very ambitious plan of electrification in the country for achieving the target of 2030 at 74% renewables and that requires at a level of incentives and that is what I was trying to say. I think positive in the fact that we play predictability, positive in the fact that they are already using international standards for defining how the remuneration is going to be, but I feel -- my point is they have to put some kind of incentives, as they did in another grid in the past for trying to accelerate the investment in the electrification of the economy, for deployment of the electric vehicles, for the deployment of more grids for -- or reinforcing the grids for cooling and heating in the houses, and for the transformation of the economy into more electrify. So that makes altogether, makes to me that I'm positive, but I feel there has to be already something more make. In terms of our accounts, we are always very conservative in the numbers we put in our plan. I think the numbers we have been publishing is not different to what has been already announced a few months ago. So which I think -- for those, which are already surprised now about that, I don't know why they're surprised because it was already said. So in the meantime, I feel we have negotiated, trying to make the things in a manner that will have the less, the minimum impact in our account. So I think in our accounts, practically in our projection, we have taken into consideration this projection, which that means is going to be affected in our plans. Saying that, I insist that, that is not enough attractive for making the investment that the country required for achieving the commercial target that the country has.
Ignacio Cuenca Arambarri: Next question comes from Javier Suarez of Mediobanca and it is related to AVANGRID. AVANGRID has downgraded the guidance once again, could you please detail the reasons behind managerial actions, if any, to improve performance there?
Ignacio Galán: So I imagine that today they're going to -- this afternoon they're going to explain in more detail those things. As far as I know, there are 2 reasons which is no different from those ones which been affecting the first quarter, which is lack of wind and certain minor storms, and both things are already is less production in wind and more minor storm, which is going to P&L and that both things are already affecting this one. As far as I know for the second half of the year, they are already -- they're going to put in operation more powers, something like 750 new megawatts, which they are going to produce. They are going to help already in the production. They are already a very ambitious plan of cost cutting, which I think they will like to improve on those things. And probably, they are already looking on the opportunities of certain asset rotation with help as well to the P&L, but I think probably this afternoon James Torgerson can provide much more detail on those ones. But I feel action is taken, changing is taken in the company, people new people has been reinforced and implemented and action in terms of new cost-cutting efficiencies are already in place.
Ignacio Cuenca Arambarri: Next question comes from James Brand, Deutsche Bank, and is related to the Spanish deregulators, so the liberalized business had an extremely strong increase, albeit with the LNG gain temporarily 7% generation tax cut, and pull hydro one-off in nature. To what extent is there a sustainable underlying improvement in the business?
Ignacio Galán: Well, I think we will try to do our best. So I think the result is, as I mentioned, the LNG, is a one-off which practically has been applied for some efficiency measures we have been taken. And the thing here is link it more to our capabilities in terms of production. So how is our permit production, nuclear production, et cetera, and how efficient are we are already in terms of cost to sales, in terms of customized product and services, in terms of exploiting our competitive advantage to use the multiple channels, et cetera, et cetera, that is going to do change. Our cost of sales is going to continue to diminish. Our customized products and services, we are continually generating new ideas. The channels of distribution continue to already improving. Customer service is excellent, and we are already trying to improve even better, that is one. So -- and all those things are already there, the competitive advantage, but what is going to happen in the future? So we will try to use all this competitive advantages. But certain the result is not only as consequence of one particular thing, which is LNG, is that helps but I think most of it as I mentioned has been already used for another efficiencies for already for some cost cutting, which is going to produce efficiencies in the future.
Ignacio Cuenca Arambarri: Question number seven comes from Harry Wyburd from Bank of America Merrill Lynch. Please can you quantify the projected impact of weak hydro on full year results 2019. In other words, how much of a benefit should be expected if hydro normalizes in 2020?
Ignacio Galán: So I think in the first half the numbers [indiscernible] is €120 million, €130 million impacted. So I think, that is more or less the first half. We are expecting that is reflected in the account. We expect in the second half of the year the situation normalizes. So I think, it's a normal year, a normal year, the normal year production is on the range of between 12 gigawatt hours and 13 gigawatt hours -- megawatt hours -- gigawatt hours. And in this year, we have already had some means, in half year have to be something -- half of that one, which is 6 or 7. And we already in the range of 5, so we are missing 2, 2.5 production. We are considering then it's lost in the whole year, but I think we considered the rest of the year is going to be already in the normal conditions.
Ignacio Cuenca Arambarri: Next questions comes from Jorge Guimarães, JB Capital. Is it possible to provide the EBITDA breakdown between wind and hydro in Spain.
Ignacio Galán: Well, I don't know the details now, but I think we can already provide yourself. If not, you can this -- I know the information detailed here in this moment.
Ignacio Cuenca Arambarri: Next question #9 comes from Jorge Guimarães of JB Capital; Harry Wyburd, Bank of America Merrill Lynch; Javier Suarez, Mediobanca; Stefano Bezzato, Crédit Suisse; and James Brand from Deutsche Bank. There was news today in the Spanish press about a potential sale of wind offshore assets. Can you comment on it?
Ignacio Galán: Well, I think we had already said several times that we are doing, we commented, we are doing, we have certain asset rotation. I think it's not the first time that we has already a stake -- with a minority stakes in many cases we have already joint ventures with another ones and we have been for years saying that we are not already company which we own only 100% of all those things. From the very beginning most of our onshore wind farm has been make already in cooperation with another people. We have 7 out of those which are in cooperation with another one, an example is West of Duddon Sands. West of Duddon Sands is a joint venture with Ørsted. So which I think is that is part of our traditional group strategy, so probably, probably I think in the future we will make already potential, some potential minority investment in certain of the assets, onshore, offshore or others what we consider that is a good solution for the company. So I think, that is something which can already happen, but I think it is part of our normal or the strategy of the rotation in sharing participation of our -- with another people.
Ignacio Cuenca Arambarri: Question number 10 comes from Arthur Sitbon, Morgan Stanley; and Javier Garrido, JPMorgan. Could you provide us with an update on the venture offshore wind projects. Is it that the risk of not moving forward given the delays in permitting? Could commissioning be relate?
Ignacio Galán: Well, I think I mentioned several times in the last presentation, I was presenting the difference between photovoltaic and onshore, offshore, et cetera. Offshore is a very complicated thing. It is something which is already required a lot of talent, a lot of skills, a lot of people who are very well prepared because we have to touch a lot of different areas. And as well require dozens of permits, so probably the venture requires something like 20, 25 permits before you're allowed to start construction. So during this process of this 15, 20 or 25 permits I think is a continued negotiation. We know the authorities involved and I think in some cases, they accept our proposal; in some cases, we have to renegotiate a proposal, that is the actual case, which I think they are -- I don't know the detail, but probably they're already requesting certain changes or modification on the project we've already presented. I think if the modifications are minor that will not affect to the schedule of the project. If the modifications are major, in that case, can already make certain delays. Delays we can already in case that happen can be already used for improvement as well in the project. We can already allow us to put already the latest knowledge and technologies, which are already that is a very, a live technology. So every 6 months appearing new update, which makes already the device more efficiency. So probably, we can already in case that will be needed, we can use already for reanalyze our original project, trying to implement with the latest achievement in the technology. But I think that is a normal -- it's a normal process. So in 20, 25 permits, we have a continuous discussion negotiation with authorities and the organization involved trying already to adjust the project to those ones will fit the interest of everybody. But I think it's nothing different on those ones which is already happening in all the projects we are making in this area, with none of the ones, I think. We make a project -- our project is to pass several approvals. And in each of those one is a continues negotiation and discussion with the people involved, and we make already adjustments. Their adjustment does not impact in the schedule of the project. There are some ones which are -- can already have some impact. If there's an impact, we use this period for looking and revising again the project and to adjust the project to the new technologies or the new fundings to be already implemented to try to improve the efficiency
Ignacio Cuenca Arambarri: Next question 11 comes from Alberto Gandolfi, Goldman Sachs. Do you worry about the 200 gigawatts of renewables pipeline in Spain and its impact on the power prices?
Ignacio Galán: Well, I think I doubt that this is going to be built. So I think that these permits I think the fact that their regulator, and their government is already trying to put some conditions in order that the power will be already more in line what is needed. But I think if people is ready to throw away their money, they can do that I think everybody is free to take the money by the window. So, but I think the plan affects then is needed something like 60,000 megawatts, 70,000 megawatts for supplying to this country. Those ones, which are they would like to make already nice things to show that they are already another thing. So it is fine. So, but I don't think that, that is going to be made on this basis.
Ignacio Cuenca Arambarri: Next question comes from Jorge Guimarães, JB Capital, and is related to a possible study of [indiscernible] related to built to sell in terms of renewables due to the current appetite or the appetite in at this moment in the market?
Ignacio Galán: I think I have already replied to this point. I think we feel that we are already a good size. I think, we have built a tremendous and very large team of people, which is allowed to look for the best sites. We have already a long experience in designing and building and operating. And I think we have already good access to financial markets. So I think all those things make ourselves that there are things, which we are interested to keep -- we will keep -- we are interesting to share part of it with third parties. If the [indiscernible] is reasonable we do. If there are things we feel then is better to be sold, we will sell. I think that is the case what did the last year in The United States and probably we will continue doing in the future.
Ignacio Cuenca Arambarri: Okay. The last two question comes from Jorge Guimarães, JB Capital; Alberto Gandolfi, Goldman Sachs; and Harry Wyburd, Bank of America Merrill Lynch and is rated to M&A. The first one is some comments on news about the potential interest of CDP assets. And what has happened to the electricity in northwest in the U.K. sale process and is this still of interest to Iberdrola?
Ignacio Galán: Well, as I mentioned several times, we have already a team of people lead by [indiscernible] which his function is to look and analyze whatever opportunities are worldwide. So I think, that's the case. So these 2 that you're mentioning, so which is CDPs, assets, but you mentioned electricity in the northwest, et cetera, et cetera. So I think they will analyze, they will make already -- when they make analysis of those things, they will come to us with a proposal that fits our criteria. So the investment we will take or we will not take the decision. But I think, for the time being, our people of M&A is already making the job, which is looking, analyzing and making the numbers for already providing just the necessary information for those, but we have to take the decision to be duly informed to take the decision in the interest of the company, in line with the rules that the Board has already defined for these sort of deals.
Ignacio Cuenca Arambarri: With the answer to the last question, please let me now give the floor to Mr. Galán to conclude this event.
Ignacio Galán: So thank you very much for attending this meeting once again. I think we are, as I mentioned to you, working with all our investor team to prepare already all the necessary details for our next Investor Day, and we can explain certain of the things you've been asking today. But I think if you have any information that is not enough provide during this presentation, Ignacio and his team will be ready to give as much information that you require. So in the meantime, I think most of you, you go on holidays, we too, so and I wish you a good summer, and we will meet ourselves again in the next -- in the coming months. So thank you very much, and have a good summer break. Thank you.